Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to Best Buy's Conference Call for the Fourth Quarter of Fiscal 2011. [Operator Instructions] I would now like to turn the conference call over to Mr. Bill Seymour, Vice President of Investor Relations. Please go ahead, sir.
Bill Seymour: Thank you, Alicia. Good morning, everyone. Thank you for participating in our fiscal 2011 fourth quarter and full year earnings conference call. We have three speakers for you today: Brian Dunn, our CEO; Mike Vitelli, our Co-President of the Americas; and Jim Muehlbauer, our CFO. And after our prepared remarks, I anticipate we will have plenty of time for your questions. Before I pass the call over to Brian, I'd like to take care of a few housekeeping items. First, we would like to request that callers limit themselves to a single question so that we can include more people in our Q&A session. And as usual, the media are participating in this call in a listen-only mode. Let me remind you that comments made by me or by others representing Best Buy may contain forward-looking statements, which are subject to risks and uncertainties. Our SEC filings contain additional information about factors that could cause actual results to differ from management's expectations. I'd also like to remind you that Best Buy will be having an Analyst Investor Day at its corporate campus on April 14. If you would like to register for this event or need further information, please contact Investor Relations. For those of you that cannot make it in person, the event will be webcast and available on our IR site. You will also note that our reported results this morning included detailed information regarding the impact of the restructuring activities we announced on February 22. I ask that you please refer to our earnings release to understand how our announced restructuring affected our fourth quarter year-end financial results within our Domestic and International segments and across the company as a whole. The adjusted numbers we will be discussing today do not include these charges. It should not be confused with the GAAP numbers we reported this morning in our earnings release and the GAAP numbers we will report in our 10-K. For a GAAP to non-GAAP reconciliation of our reported to adjusted results, please refer to the supplemental schedule on Page 12 of this morning's news release. With those housekeeping items aside, I would like to turn the call over to Brian Dunn.
Brian Dunn: Good morning, everyone, and thanks for joining us on our fourth quarter and full year earnings call. Before we begin today's discussion, I want to pause and reflect on the horrific events in Japan. We've all been moved by the pictures of destruction in that country, and our heartfelt sympathy goes out to the people of Japan and the many vendor partners and friends of Best Buy who live and work there. Since the tsunami struck on March 11, we have been in close contact with our business partners in Japan and they know that we will support them to the best of our ability as they work to recover and rebuild from this tragedy. Our thoughts and prayers are with everyone affected by this disaster. I'd like to cover a few things this morning. A quick recap of the fourth quarter, a look back at last year and some thoughts and priorities for this new year. First, the fourth quarter. Jim will provide you with a detailed overview of the quarter, but I'd like to highlight a few things. Gross margin improvements continued, a true reflection of the increased profit levers we have developed and highlighted via Domestic segment. Adjusted margins that were up 90 basis points. We demonstrated expense control in the quarter. Total company SG&A was up only slightly, as we reduced spending in response to the sluggish sales environment. Now, looking back on the full year, we faced a restrained consumer in a difficult industry environment during the year, especially in televisions. The TV market was down significantly last year, caused in large part by demand for IPTV and 3D TV that did not materialize as the industry had anticipated. But despite these challenges, I'm pleased with how we responded and executed. We wanted to improve our gross margins last year, and we did. Despite lower comps, our Domestic business adjusted gross margin was up 90 basis points. Overall gross profit dollars were up and importantly, gross profit per square foot was up. Our cost control was good throughout the year. SG&A was up less than 5% for the year, which was an improvement from the previous year. Our adjusted operating income dollars were up and operating margin was up despite a down comp in a difficult industry environment for the year. I think this was a significant accomplishment. Putting it all together, despite the industry backdrop, the team responded well and our execution at the store level was good. Our retail customer satisfaction scores were up last year. Our close rate improved on a year-on-year basis and we had notable improvements in connections, accessories and Geek Squad Black Tie Protection. Having said that, we're never 100% satisfied with our customer experience and we intend to make it even better. More on that later. One of the strengths of Best Buy is our ability to change and adapt. One of our four company values, in fact, is to learn from challenge and change. The nature of our business requires us to constantly innovate. Just look at how quickly our assortment changes with the natural cycles of technology. Last year was no exception, and we took action to improve our model. We have made good progress on our Connected World strategy and in building out differentiated value propositions to thrive in that world. Best Buy Mobile is the tip of the spear in our connected world strategy, and we gained share in the mobile phone category overall in the U.S., and particularly in the smartphone category. Best Buy Mobile also saw improvements in both Geek Squad Black Tie Protection and accessories over last year. Special appreciation goes out to more than 20,000 Geek Squad agents, who enabled the highest and best possible customer service in-store or at home. Outside of mobile phones, we continued to see significant growth of connectivity in other areas. A good proof point of this was unit growth over 50% on AirCards and MiFi devices that deliver mobile broadband service to computing devices. As we've talked about, last summer we made significant changes to the store in a continuing effort to maximize our return on space. We decreased the size of declining categories and increased space of higher margin and faster growing categories. CD space was reduced by over 50%, and that space was allocated to fast-growing areas like Best Buy Mobile, eReaders and seasonal impulse products. In the fall, we launched the refresh of our Gaming business. Customers can now buy and sell pre-owned games in approximately 90% of our stores, and we've also added pre-ordered kiosks for new titles in all of our stores. The Gaming business has a long heritage at Best Buy, and we're determined to strengthen our position as a premier destination for all types of gamers. We also launched the Buy Back Program with a campaign that included our first ever Super Bowl commercial. Our research shows that a high percentage of consumers agree that concerns about obsolescence have likely prevented them, or would prevent them in the future from purchasing CE products. The Buy Back Program allows customers to future-proof their technology purchases in a world where technological advances are rapid and relentless. It's still early, but we've seen encouraging trends for this program to date. Outside of the period, it was offered for free. This program is particularly appealing in mobile phone and tablet categories, which gives us meaningful differentiation in two of the highest-growing categories in CE. As I mentioned, we recently announced a significant restructuring of our International business that we believe will build on the positive aspects of our International business performance last year. We had good sales growth led by Five Star in China and saw encouraging signs from smaller business like Mexico. Excluding the announced restructuring charges, our international operating income growth was up over 30% last year. Looking forward to fiscal 2012, Jim will take you through the guidance in detail, but here are some areas of particular focus. I strongly believe Best Buy's business model is positioned for success this year. We're fully aware that consumers are still relatively constrained and some of our major categories are coming off challenging years. As you saw from our sales guidance for this year, we're still assuming that some of these headwinds will continue. This is particularly a concern with a housing market that's still not growing, and the cost of energy will have a predictable impact to consumers. That said, we see several significant incremental opportunities this year, and we have targeted plans in place to take full advantage of them. One clear incremental opportunity for us this year is growing in product categories where we have lower share like mobile, appliances and gaming. And Mike Vitelli will take you through that detail in a moment. We also see an opportunity to enhance the overall returns of our stores and we are taking actions to realize that. First, we have projects that we expect will improve performance in our big-box stores, including key lessons from our connected store pilot and actions we're taking in our Appliance business; second, we've slowed big-box square footage growth; and third, we're increasing our points of presence in small-box formats like Best Buy Mobile, a model that's relevant to a new set of customers and one that has powerful and proven returns. To sum it up, we are exploring and redefining what the optimal big-box footprint is for us, and we're finding ways to maximize returns through a variety of actions, including extending many of our key categories that should increase customer footsteps every day. We believe a strong physical presence and a strong online presence is a major competitive advantage for Best Buy and a point of differentiation. Last year, our U.S. Dotcom business sales were up significantly and according to our estimates, our market share was also up in this channel. However, we have real opportunities to improve our performance in the online channel, and we're taking actions now to do this. We're responding to how customers want to shop. And what we're hearing loud and clear is that many customers want to use multiple channels. We offer customers options and solutions across all channels and across the entire spectrum of price points. As a testament to this, when you look across our U.S. big-box stores, and our Dotcom channel, our traffic was up in fiscal 2011. Last year, we deployed two new multi-channel options for customers to add to our already popular in-store pickup-within-the-hour approach. We started ship-to-store and friends and family guest pickup. After these two additions were deployed, we saw total in-store pickup go from approximately 35% to over 40% of all products sold online. And our Mobile Web and Apps business had the highest growth rate this year of any of our touch points, demonstrating that we are increasingly serving customers where and how they want to shop. An important proof point to support the value of multi-channel is the fact that recently, almost 80% of larger-screen TVs that were purchased online at Best Buy were picked up in the store. We believe we are an industry leader in giving consumers plenty of information, choice and speed in how they want to purchase their products. So what do we anticipate for TVs overall this year? We expect to see very large screen TVs, which will include all the latest technology at great prices. We will have to see how consumers respond to this environment, but we believe that this combination will play to our strengths because our strength is helping customers understand the new technology, walking them through the different options and having the Geek Squad deliver, install and set up the equipment. One last opportunity I'd like to briefly discuss is our International business. We've focused that business. We're investing strongly in the growth of Five Star, we continue to expand and drive our powerful warehouse [ph] Small-Box business and we're conservatively expanding our Best Buy stores in the relatively new markets of Mexico and the United Kingdom. I believe this focused strategy will allow our International business to contribute significantly to our overall profitability over time. Last month we announced some high profile changes to our business that demonstrate our commitment to focus investment only on efforts that meet our expectations for profitable returns. We will continue to be disciplined and tenacious about investing in areas that meet our standards for ROIC, and we intend to actively reach out to new customers of all ages and interests to take advantage of how easy it is to shop for, compare and buy with confidence at Best Buy in-store and online. To gain traction in this environment, we have to provide good reasons to shop and buy now. Our partnerships with the industry's largest investment manufacturers allow us the opportunity to attract and acquire increased numbers of new customers with strong offers, available credit and broad assortments of products, all backed with the industry's best technical service. This promise continues to be the foundation of our company and will serve our new and loyal customers. In closing, I am looking forward to this year. We have several exciting incremental opportunities in front of us that I believe play into Best Buy's core strengths, all the while being realistic about the headwinds we all see. We will continue to make the changes we need to make, to meet the challenges of this dynamic marketplace, to evolve our business and to focus our capital initiatives in the areas that generate the greatest customer acquisition and returns on our market-leading position. With that, I'd like to pass it to Mike Vitelli for some additional color around opportunities in our U.S. business. Mike?
Michael Vitelli: Thanks, Brian. One clear incremental opportunity for us is to grow in specific areas of our business. There are several areas in our store where we believe we have a powerful value proposition, with a great brand fit but our share is low. And we believe with effective communication and great execution, we have the opportunity to pick up additional share. First, mobile. Best Buy Mobile has been executing very well and we've gained share. But despite that strong showing, our share is still only around 6%. We're seeing solid momentum in this business. We're growing the footprint of mobile in our big-box stores to add additional accessories. And as we announced last month, we're planning to open an additional 150 mobile standalone stores, taking the count to a total of approximately 325 stores by the end of this year. In addition, our new Buy Back Program is especially relevant to mobile phone consumers, and we're seeing strong attach rates as well as increasing buyback attach rates when bundled with Geek Squad Black Tie Protection. Our biggest obstacle to growing mobile share appears to be awareness, and we believe the store count growth, supported by advertising to drive consumer awareness and smart promotions like Free Phone Fridays will address the awareness gap and accelerate our growth. Last year's hot product was the iPad, and we had success with the iPad and now again with the iPad 2. As choice becomes more important in the emerging tablet category, we are best positioned to showcase the choices and inspire our customers to the art of what's possible. We offer the ability to touch and try all the models side-by-side. We have employees who can explain the differences between the different products and platforms, offering unbiased advice. Best Buy customers can maximize the benefits of their purchases with the accessories, content and connections that they want and need. To make this experience come to life, we intend to use a similar proven labor, training and compensation operating model used by Best Buy Mobile to drive the Tablet business. Finally, we've launched our Buy Back Program for tablets, which, like mobile phones, is particularly relevant for consumers who love to have the latest and greatest. And Buy Back makes Best Buy a great place to buy your smartphone and your tablet. Another opportunity is appliances. Appliances represented 5% of our U.S. sales last year and we're still number four in the market. But appliances has a big footprint in our stores, and we need to get a better return on that space. We believe we can make significant improvements to our Appliance business and improve our share position. We're seeing it already. As a good example, we’ve seen solid results when we take key elements of the Pacific Sales appliance model into Best Buy. Currently, we have eight Pac sales stored [ph] in the store concepts on the West Coast. And in Southern California where we have both Best Buy and Pac sales, we've seen both higher market share and better growth for our appliance business overall. The gaming industry is a $20 billion business in which Best Buy is number two in hardware and number three in software, and we currently have a very small share in preowned games. In order to improve our position and materially change the way we compete in this space, we're making investments in dedicated gaming labor, in-store and online pre-order and trade-in capability and digital content. First we've added the ability to pre-order games in all of our stores and on BestBuy.com. We'll also change our promotional rhythm on new games to promote them during the pre-release and pre-order periods, when most consumer activity occurs for many iconic franchise games. Second, we've added the ability to trade-in used games at Best Buy for the more attractive Best Buy Gift Card, and this includes the ability to use those trade-in dollars for anything in the Best Buy store, not just game titles. Best Buy will offer an outstanding gaming experience for our customers, and these investments will allow us to participate in the multibillion-dollar digital and preowned spaces that are almost entirely incremental to our current business with higher margins, and we regularly expect this to drive traffic to our stores. We're seeing very good signs that customers are eager for choices and like our offers. And before now that I hand this over to Jim, I'd like to discuss one more thing. There’s been some discussion recently about our pricing strategy that is incorrect and I'd like to take this opportunity to address this. Can we do things to improve our price impressions with customers? Absolutely. We see this opportunity and we're acting on it. And we also know we bring value to buying technology in more ways than just price. As a result, we believe and our share would support, that we're perhaps the leading destination to buy technology in the world. First and foremost, we’re committed in our stores and online, to ensure people buy the right technology to meet their needs and the accessories, connections, content and services to get them the experience that made them want to buy it in the first place. What's more, we make technology more accessible through financing and Reward Zone. We make it easy to get their technology up and stay running through a wide array of service products, and we allow consumers to future-proof and protect their technology through products like Buy Back and Geek Squad Black-tie Protection. Pricing transparency has never been better for our customers. It's easy to price check products today, even right in your hand on your smartphone. But many of our value-added promotions like financing and Reward Zone, and others like bundled savings don't translate well into SKU-only product price comparison engines. Best Buy intends to use a variety of pricing strategies to compete against a diverse set of competitors which often differ by category. We sell thousands of products and services in dozens of different categories. Applying a single pricing strategy across all of our products and categories would not be practical or rewarding. My point is that price matters and so does value, and we want to make sure that we're more effectively communicating our prices and value offers in all Best Buy channels everyday to get customers the best and right solutions for each of them. With that, I'll hand it over to Jim.
James Muehlbauer: Thanks, Mike, and good morning, everyone. I'd like to start this morning by recapping our fourth quarter financial results, and by providing some additional color on our performance. Then I'll recap what we set out to accomplish in fiscal '11 and how we performed against those goals. We will close with our thoughts on how we currently see fiscal '12 playing out and the resulting financial guidance. As Bill noted up front, the numbers we will be discussing exclude the restructuring charges detailed in our release this morning. This morning, we announced adjusted fourth quarter diluted earnings per share of $1.98, which was up 9% versus last year. As Brian mentioned up front, we are pleased to continue the theme of strong gross margin performance, driven primarily by strength in our key connectivity category, Best Buy Mobile, along with disciplined SG&A spending set against the consumer demand backdrop in our industry. Let's quickly run through some of the key headlines. First, in the fourth quarter, revenue declined 2%, driven by a comparable store sales decline of 4.6% and partially offset by new store growth. In our Domestic segment, fourth quarter revenues decreased almost 4% from last year to $12.1 billion, as comparable store sales declined 5.5%. While on the surface, this decline appears similar to what we experienced in the third quarter, the trend was actually modestly better when you look at the two-year comp and consider that domestic comparable store sales were up over 7% in the fourth quarter last year. The decline in comp store sales was driven primarily by a couple of factors. First, the industry continued to experience lower demand in key categories, including TVs and notebook computers. Second, we were up against a nearly 40% comparable store sales gain last year in mobile computing, largely due to the launch of Windows 7. Sales in our International segment increased approximately 4% to $4.1 billion, driven primarily by new store growth and the impact of favorable FX rates. These gains were partially offset by a comparable store sales decline of 1.3%. Our Best Buy Europe business experienced a low single-digit percent increase in comparable store sales for the quarter. Canada saw many of the same consumer demand industry headwinds that were experienced in the Domestic segment, which resulted in a similar low single-digit comparable store sales decline. In Five Star, we experienced a low single-digit comparable store sales decline as we began to lapse [ph] significant year-over-year strength. For context, our Five Star comparable store sales growth was over 35% during the fourth quarter of last fiscal year. For the full year, Five Star experienced a comparable store sales growth of 18% in fiscal '11. Turning now to gross margins, the highlight for the quarter was again the continued expansion of our gross profit rate. Total company gross profit rate of 24.4% reflected a 40-basis-point year-over-year improvement. The domestic gross profit rate was up 90 basis points to 24.5%. The 90-basis-point expansion can be attributed to overall flat rates and an improvement in mix due to continued growth in Best Buy Mobile and a lower mix of computing and entertainment hardware and software. Additionally, similar to the first three quarters of the year, gross margin rates improved slightly as a larger portion of our vendor programs were orientated towards purchase incentives instead of advertising support, which is recorded as a reduction in SG&A. Just as a reminder, this is the last quarter this reclassification will impact our year-over-year financial comparisons as we will anniversary this change in the first quarter of fiscal '12. Within the International segment, the gross profit rate of 24.2% reflects a 120-basis-point decline year-over-year, primarily driven by a higher mix of sales in the B2B channel in Europe, partially offset by strong margin improvements by both our Five Star and our teams in Canada. Turning to SG&A, fourth quarter expenses increased just 2% year-over-year to $2.7 billion. SG&A dollar growth was limited due to tight cost controls on variable spending items. In addition, similar to the third quarter, SG&A also benefited from lower incentive compensation expense tied to our overall financial results. Lower incentive costs favorably impacted our overall rate by 40 and 30 basis points in the fourth quarter and for the full year respectively. Bringing it all together, the net result is that the fourth quarter operating income decreased 4% versus last year to $1.2 billion or 7.5% of sales. Again, these results exclude the restructuring costs Bill referenced. I also wanted to touch on a couple of specific points related to how we closed out the year to help avoid any potential confusion. First, the year ended with higher-than-usual working capital, including inventory, accounts payable and accounts receivable. Each of these items included several timing-related events, so let's spend a minute and touch on each of the key drivers. As you saw in the release, total inventory was up 7.5% year-over-year compared to up 12% at the end of the third quarter. In Q4, growth from new stores and changes in foreign currency contributed approximately half of the inventory increase. Domestic comparable store inventory in Q4 was up 2% and reflected an improvement over the third quarter, which was up 8%. The growth in domestic inventory was principally in support of the continued strong sales growth in Best Buy Mobile. As the company reduced inventory receipts in January and February in response to holiday sales trends, total accounts payable declined as we paid for our existing inventory under our normal practices. Accordingly, accounts payable finished the year lower than last year due to timing changes in our inventory receipt patterns this year. And finally, we also saw an increase in the receivables at year-end, due to the timing of several large payments due from our vendors. A large portion of these payments have been received since our year-end. The combined impact of the above items increased our year-end working capital and lowered free cash flow. To be clear, our overall working capital and cash flow model has not changed significantly, as these items are timing in nature. We anticipate our working capital positions will return to more normalized levels in the first half of fiscal '12, which will benefit our year-over-year free cash flow generation. Second, our effective tax rate of 31.4% was lower than last year and our expectations, due primarily to the favorable resolution of several tax matters in the quarter and a higher proportion of our income from foreign operations, which is taxed at lower rates. We estimate that temporary reductions in our tax rate favorably impacted the fourth quarter and full year earnings by approximately $0.12 and $0.11 respectively. While there were certainly challenges that both Best Buy and the CE industry faced in fiscal '11, we also saw exciting growth opportunities in new connected technologies and achieved several important goals that we set out to accomplish during the year. We drove profitable sales growth in key parts of our business such as Best Buy Mobile by opening up over 100 new stand-alone stores, and saw continued growth in our profitable Five Star model in China. Domestic gross profit margins grew by 90 basis points for the year. This year-over-year gain shows that our connectivity strategy is gaining traction and demonstrates our ability to respond to market opportunities and grow margins even when some product categories are challenged, which we believe positions us well for the future. We announced restructuring plans for our International business, demonstrating our commitment to enhancing our profitability and returns. We exercised strong cost discipline in a tough environment, which limited SG&A dollar growth to 4.6% for the year. Setting aside the impact of the restructuring, this cost control, combined with our significant gross margin expansion, allowed us to grow operating income dollars 2% and operating income rate 10 basis points for the full year, despite a negative comp sales environment. And lastly, we repurchased approximately $1.2 billion or 33 million shares of our stock, which is over 8% of the previously outstanding shares of the company during fiscal '11. This was the second largest year of repurchase activity in the history of the company, and we continue to see share repurchases as one of the important elements of improving returns for our shareholders over time. Looking ahead to fiscal '12, we recognize that there continues to be many variables in the environment. It appears likely that macro influences such as unemployment, housing and higher gas prices may continue to pressure consumers. Strong companies and brands like Best Buy utilize times like these to play offense and leverage their position in the marketplace. We plan to pursue profitable growth opportunities by focusing on key connectivity categories like Best Buy Mobile, and exciting new technologies like tablets. As Mike discussed earlier, we are also planning to grow our Gaming and Appliance businesses in the year. Given these competing factors, our fiscal '12 plans reflect a range of potential outcomes, and are focused on making prudent investments in several profitable growth areas of our business, while maintaining disciplined cost control. Our fiscal 2012 guidance calls for top line revenue of $51 billion to $52.5 billion, which is an average of 1% to 4% growth year-over-year. Key assumptions behind this outlook include the new store plans we disclosed in late February, which call for approximately 150 new Best Buy Mobile standalone stores, U.S. big-box square footage growth of less than 1% and 40 to 50 new Five Star stores in China. Additionally, we anticipate that the inclusion of the 53rd week during the fiscal fourth quarter will add approximately 1.5% to 2% year-over-year to our top line revenue. Partially offsetting these gains is our comparable store sales estimate for the year of flat to down 3%, which reflects our current view of the range of potential outcomes in this environment. Looking at gross margins, we expect to grow gross margins next year but at a more modest rate than in fiscal '11. We anticipate a large portion of this growth will be driven by further progress in our connectable categories led by Best Buy Mobile. As I mentioned earlier, we made solid progress in focusing our discretionary SG&A spending in fiscal '11. We will be prudent in our SG&A investments, striking an important balance of pushing forward on profitable growth areas and managing our SG&A. Given planned investments to grow our Connections business, the addition of the 53rd week and the impact of lapping more incentive costs in fiscal '11, we anticipate that total SG&A dollar spending will grow approximately 4% for the year or approximately 2%, excluding the impact of higher incentive comp and the 53rd week. So rolling it all up, we anticipate that total operating income dollars will be flat to up 7%, as improvements in our gross margin rate mitigate potential softness in the comp sales environment. We also anticipate that the recently completed bond offering will add approximately $50 million to our full year net interest expense. Doing the math, this translates to approximately $0.08 of EPS for the year. Bringing it all together, we are forecasting annual non-GAAP EPS of $3.30 to $3.55 for fiscal 2012, which represents a 4% decrease to 4% increase year-over-year, excluding restructuring related charges. This adjusted EPS guidance also excludes the impact of any potential share repurchases in fiscal 2012. Taking a quick look at our fiscal '12 CapEx outlook, we expect to spend approximately $800 million, which would be slightly lower than our fiscal 2011 CapEx spend. With that as context for what we expect for the full year, let's shift gears and spend a minute on our phasing expectations for fiscal '12. First, we expect that our comparable store sales performance in the first half, especially in the first quarter, will be similar to the quarter we've just completed. Additionally, we anticipate that the second half sales will improve over the first half trends based on the actions already discussed by Brian and Mike earlier, including the initiatives in our Best Buy Mobile, Tablets, Gaming and Appliance businesses. And of course, we'll be up against much easier compares in the second half of the year. Regarding SG&A for the year, we anticipate higher growth in the second half of the year as incentive compensation returns to more normalized levels, and given the inclusion of the 53rd week in the fourth quarter. Given the phasing of our fiscal '11 actual results and the above assumptions, we do not anticipate that year-over-year EPS growth will grow until the second half of fiscal 2012. One last thought on our outlook. Currently, we are not aware of any significant impacts to our business as a result of the recent tragedy in Japan. We are in contact with our vendor partners and suppliers but recognize that it is still too early for them to assess what impact, if any, this may have on our business in fiscal '12. In closing, there were challenging elements that impacted the CE industry and Best Buy during fiscal '11. Consumers are clearly telling us that they are interested in capturing all the benefits of a connected lifestyle, but they are also selective about how and where they spend their discretionary dollars. We believe the strength of our multi-channel approach in serving customers; the ability to showcase all the latest and greatest technologies all in one place, coupled with our knowledgeable Blue Shirts who can help customers get the most out of their spending; continues to position our model attractively for customers, vendors and shareholders. Equally, we realize that we have many opportunities to improve our model, attract new customers and drive stronger performance in the near term and beyond. So with that, Alicia, we are ready for questions.
Operator: [Operator Instructions] And our first question comes from the line of Dan Binder with Jefferies.
Daniel Binder - Jefferies & Company, Inc.: You spoke a little bit about pricing and what you'd like to accomplish over the next year. I was wondering if you can give us maybe a little bit more of an example of how you create -- in a world of higher pricing transparency, how you create a better price image, when in fact, someone is doing a search, whether it's on a smartphone or other device on SKU-specific pricing?
Michael Vitelli: This is Mike Vitelli. It's a great question. And I would say the biggest singular thing that we're doing right now and we began it in the second half of this year is dramatically expanding our Online Only assortment. These are the people that we're competing with that have very, very broad assortments. And what we're doing, rather than just figuring out how to expand the assortment in the store, is dramatically increasing the assortment online. For example, historically we would carry 100 televisions, I'm using that as an illustration, 100 televisions within the store. Now we'll have over 400 televisions online, of which 300 will be Online Only. And that allows us to be very aggressive in the Online Only pricing, because we have a similar operating model there to compete effectively in that channel.
Daniel Binder - Jefferies & Company, Inc.: If I'm allowed a follow-on to that, how will you support that? How will you support the inventory needs? Is that through some sort of a wholesaler or is that just keeping limited inventory in the central warehouse?
Michael Vitelli: There's a variety of ways. Some of the SKUs we would own and we'd keep in the centralized warehouse. Others could be done through supplier direct for some that are handled either by the supplier themselves or distribution. So there's a variety of ways to do it. But to your point, it's a much lower inventory position. So a much higher return on inventory that way.
Brian Dunn: This is Brian. The strategy mike just outlined, we believe allows us to be sharper on our online pricing and create the accurate price image of the sort of value Best Buy presents each and every day to our customers.
Operator: The next question is from the line of David Strasser with Janney Montgomoery Scott.
David Strasser - Janney Montgomery Scott LLC: I guess a question regarding CapEx. You talked about $800 million, can you kind of break that down? I know you tend to do it in the K, but can you break it down a little bit more detail, as far as new stores versus IT spending and sort of where the biggest buckets are and what you’re going to try and get out of it?
Brian Dunn: I'm going to turn it over to Jim in just a second, this is Brian. The frame we’ve used in or CapEx allocations this year, in the places where we have matured businesses where we are invested like our Big-Box business, our intention is to leverage those investments. It's also clearly our intent to deploy our capital and our human resource against growth areas, some of which you heard about this morning. I think maybe, Jim, you can give a little color on what some of those growth areas are.
James Muehlbauer: As you would expect, as we have been lowering the number of big-box new stores over the last three or four years, our CapEx spending dedicated to U.S. big-box growth has been coming down significantly. We've also been using money over the last couple of years to remodel our existing stores and put value props in place where we know that there's high levels of consumer demand in spaces where our share is like Best Buy Mobile. So what you see happening next year is, while the capital is actually coming down a little bit year-over-year, there is a shift in capital spending that's really been a continuation of a theme in that we continue to lower our big-box capital spending, but we're ramping up our capital spend on profitable new models like Best Buy Mobile, and we're ramping up spending next year to support the profitable growth we see in China around our Five Star business as well.
Brian Dunn: And as I said in my remarks, these are proven profitable models that we're quite happy to invest in.
James Muehlbauer: Other areas of investment really dovetail the parts of the business that Mike and Brian talked about earlier in looking at opportunities to improve our store environment around our Gaming business to support pre-orders and used game, and really doing something more than just a physical presence, but actually building a labor model to support customers in the gaming space, to give them the advise and service that we think could be a large differentiator in improving our sales and share in that space.
Brian Dunn: You'll also see us investing in our Dotcom capabilities which we're very enthusiastic about.
Operator: The next question is from the line of David Schick with Stifel, Nicolaus.
David Schick: So, the Buy Back Program. You mentioned the attach rates are strong and I guess, how should we think about the impact on 2011 and really beyond on the margin structure of Best Buy?
Brian Dunn: I'll ask Jim to comment on the financials. I will tell you the math is early. As I mentioned on the call, we're very pleased with what we've seen so far. We love what this does for customers, and the early results indicate customers appreciate it. As I mentioned, particularly in smartphones and the emerging tablet category, very, very high acceptance. And Jim, do you want to comment or not comment on the financials?
James Muehlbauer: Yes, happy to. Clearly that program is meant to do a couple of things. First and foremost, as Mike Vitelli talked about, we're using that as an opportunity to demonstrate what we can do differently for customers to increase their comforts in buying [ph] purchases. So that, for us, is really about the traffic in a closed vehicle. The economics of that, over time, will depend upon how customers actually behave and what those products actually do from a resale standpoint. But key thing for us is, we're using that as a differentiator to drive traffic, close sales. And then just as a reminder, in that program we've actually ceded the kind of residual value of the exposure of those purchases will be with a third-party. So once Best Buy initiates the fund into that transaction, we have no longer -- we don't have to continuing liability as it relates to the product.
Brian Dunn: It really is -- the Buy Back Program, I think, stands as an excellent opportunity to highlight what will be the constant innovation that goes on within our model. We take what we learn from our customers and what we know what's happening in the industry and increasingly, customers are becoming accustomed to this notion of XYZ one this year. I’ve got two next year and on and on and on, and that rhythm has created great excitement for customers, also some anxiety about buying. And I think that Buy Back is just a great example of the continuing innovation around our model.
Operator: Next question is from the line of Scot Ciccarelli with RBC Capital Markets.
Scot Ciccarelli - RBC Capital Markets, LLC: You guys have obviously closed your stores in Turkey, you’ve closed the Best Buy stores in China and new store growth in the U.S. is now just over flat. Are we at the point where we may start to see your existing U.S. big-box store portfolio start to undergo some more meaningful changes?
Brian Dunn: We are constantly assessing all parts of our business. We're looking to improve returns wherever we can. I think what's really important about our strategy is we are looking to increase distribution points and customer touch points. One of the things we like so well about the Best Buy Mobile model and why we're accelerating our growth there, because it gives us additional touch points while we're accessing new customers. And you're going to continue to see Shari and our real estate team work diligently to increase the touch points and to be as efficient as possible with our space deployment.
Shari Ballard: Scott, this is Shari. A couple of things in the near-term, we think our opportunities in the big-box stores to get better returns, one is around the operating model. Mike mentioned this in his remarks. But in categories like tablets, in mobile, in appliances where we see an enormous amount of customer need that we think is still, and is very unfulfilled. We'll use different operating models in those spaces to get the right amount of labor in with the customer, in a way that we think we can get better returns. So in those particular categories, those are queued up this year for that. And then two, I would call the general bucket of space, better returns in the existing stores from a category perspective. So we've expanded the space around Best Buy Mobile, we'll expand around tablets, and as we mentioned, we'll expand around gaming and the used gaming and gaming trade-in. More broadly on real estate, yes, we've got opportunity in the big-box portfolio. We're still a little bit early, but we like what we're seeing in the connected stores right now in terms of our ability to handle the traffic, to show customers better Connected World and multichannel value propositions in a less space. So there is definitely opportunity from the size of the typical big-box stores.
Operator: Next question is from the line of Peter Keith with JMP Securities.
Peter Keith - JMP Securities LLC: I know you'd highlighted in your press release that the Q4 market share had improved relative to 3Q, which I guess would be in line with your historical trends. Just curious if you could just provide how you thought the year-over-year change in market share trended relative to the 125-basis-point change in 3Q. And then related to that, I know you've got a number of drivers with some of your emerging categories to drive share, I guess what type of market share gain or loss is currently embedded in your sales guidance?
Michael Vitelli: The first part of your question, as you mentioned, our market share was sequentially improved from the third quarter to the fourth quarter. The declines we saw are consistent with what we saw in the third quarter. But for the year, in looking at it for the total of the year, last year our share was approximately 22%, again in the categories that we're measuring here, which it’s important to call out our [ph] missing the things that were growing the fastest in cellphones, services, tablets. These aren't in these track numbers yet. But our share this year was down about 100 basis points for the year. We were up 170 last year, so we're still on a sequencing trend positive over a multiyear basis. We have a very strong number one position in television, computing and digital imaging and television. Our share is higher than the next three competitors combined. So in those areas, we're going to really vigorously defend the share in those three positions. The biggest thing we're going to do to grow share is what I mentioned earlier, we have four categories for our shares that are in single digits. Gaming and software, we have probably a little over that, but we have massive area for improvement in mobile, appliances, tablets is just beginning. So these are all areas of -- that's where we see the growth coming from while we maintain and continue to grow a bit the really strong sales positions and share positions we have in the big three.
Operator: The next question is from the line of Ian (sic) [Daniel] Wewer with Raymond James.
Daniel Wewer - Raymond James & Associates, Inc.: It's Dan. So we talked about growing market share in categories where your share is low. I wanted to talk about the other scenario, categories where you're benefiting from a large market share but sales are struggling. And I guess the one category that really stands out is televisions. You noted that the new technology is not resonating with your customers, there may be some competitive issues, perhaps penetration rates of high-def TVs are already so high, there's not a lot left in a way of growth. But I'd be very curious to see what the game plan is for stimulating TV sales in FY '12, or perhaps are we just pushing on a string and that's the reason why the other comp sales outlook is flat or minus 3% for this new year.
Michael Vitelli: If you're talking about TV specifically for a moment, the second half of last year was a different cost [ph] environment for the industry. Industry projections, therefore were relatively modest this year on an industry basis. One of the things we're doing in planning to grow our share in television is twofold. One is the industry is going to be focused on larger screen sizes, and we think that fits very well within our model, as Brian mentioned earlier, about large televisions being ordered online or in the store but being picked up in the store, because that's what people want to do with those televisions of that size versus shipping it. But equally important is what I mentioned earlier, is the rapid expansion of our Online Only assortment. That's going to allow us -- because we weren’t competing in those SKUs in prior periods.
Daniel Wewer - Raymond James & Associates, Inc.: But aren't you carrying the most relevant SKUs in your store? And therefore that strategy may not be as effective?
Brian Dunn: Well, I think you're going to get both. We are in fact carrying the most relevant SKUs in the store but there are still -- we were, in a sense, calling down a 500-SKU assortment to put 100 SKUs in the store. Yes, they're the most relevant. The other 400 are selling. We just weren’t selling them, and now we're going to be able to aggressively do that.
Operator: The next question is from the line of Brian Nagel with Oppenheimer.
Brian Nagel - Oppenheimer & Co. Inc.: I wanted to ask a question just on domestic gross margins. So we've seen, for a few quarters now, some very nice expansion. And given the sales data you give us, it's clear that sales is a mix shift to higher margin categories in mobile, et cetera. As you look at the specific categories, in the margins within those categories -- the question I have, is the better domestic gross margin we've seen primarily a result of the sales shift or are there actually fluctuating margins within the categories in the stores?
Brian Dunn: I'll start with an overview and then Jim or Mike can jump in. Brian, clearly, Best Buy Mobile carried a huge piece of that rate improvement for us in Q4. The shift, the mix shift was very large for us, a big piece of that. And I'll leave it to Mike to comment within categories. You see any notable trends there?
James Muehlbauer: Yes, Brian, I'm going to take that. So certainly, as we look at the different parts of our business, you have pieces moving in different directions but from a macro standpoint, as we noted in our release, basically the improvement in gross profit through most of the year has been mix-driven based on what happened in Best Buy Mobile growing successfully, and just a lower portion of notebook computers in our mix. I'll remind you that, remember last year in Q4, with the launch of Windows 7, notebooks in the mix went way up. So it depressed our margins in Q4 of last year, once again that was mix-driven. Overall, our rates in most of our categories has stayed very fairly stable. One exception would be in the Television business, and that's purely due to the mix of the type of TV sales that we've seen this year versus the previous year. As Mike mentioned, the new technologies that the industry planned to sell this year didn't grow as fast as the industry planned. We sold more mid-line televisions and lower-end televisions, so our margins in that space came down. But I would attribute that to kind of mix within the TV category, not a rate on a SKU-per-SKU-type product. So overall, rates relatively stable through the year. We think we have opportunities to drive more sales going forward as Mike talked about. That's going to have some impact and pressure on the rates next year, but those are incremental sales dollars and incremental margin dollars, that's why the guidance we've provided next year is expecting gross margins to grow, albeit at a slower rate than we saw this year.
Operator: The next question is from the line of Matt Fassler with Goldman Sachs.
Matthew Fassler - Goldman Sachs Group Inc.: My question relates to home office, and I want to address what looks to be the pretty sharp deceleration in home office and mobile computing in the latter two months of the quarter. And then relate that if you could to your broad expectations as to how tablets roll into the mix in calendar '11 and impact that Home Office business as we move through the year.
James Muehlbauer: This is Jim, why don't I take kind of the front half of that and Mike will talk a little bit about what we're seeing in tablets and what we see into next year. Just maybe take a second to remind everybody that what's going on in part in the computing space, which is in home office last year, is we had the launch of Windows 7 last year. So late in Q3, early in Q4, our computing comps were way down as we were bleeding down inventories to prepare for that Windows 7 launch. Computing comps in January and February last year were enormous in the business. I know I mentioned in my prepared remarks that we saw Q4 comps in mobile computing of up 40%, driven by that. So part of what you're seeing in your comment is just what we're lapping last year from a computing experience standpoint. And I’ll let Mike talk a little bit about what we're seeing in the Tablet business and going forward.
Michael Vitelli: We're excited about the opportunity that tablets is presenting. I think from June on, there'll be a good range of competitors coming into market, and when choice then becomes more of a prevalent issue, our model can do well there. Our assortment breadth, both in the store and online, gives you an opportunity to touch and feel these products side-by-side. And as I mentioned earlier, customers can walk people through the different platforms, because that's becoming increasingly important of the ecosystem that the different tablet will have to live in, whether it's the Android platform, the IOS platform, the emerging webOS platform. That's going to be important for consumers to understand and see, and we think we’re going to be the best place to see all three of those live and in person.
Matthew Fassler - Goldman Sachs Group Inc.: Just a little follow-up, Jim. You spoke about the compares last year. My numbers could be off, but it looks like the December home office comp number last year was sort of stronger than the fourth quarter overall. It looks like up 29 in December and up 22 for Q4 in terms of domestic comps. So is it just compares or anything else in the underlying trend or tablet cannibalization or people waiting for the iPad 2 or something like that, that might have impacted the underlying count?
James Muehlbauer: Matt, I don't have the December mobile comps for last year sitting in front of me right now, but what I'm processing through, and we can follow up with you. Also in that number us Best Buy Mobile which would have had a significant comp last year during the holiday season as well.
Operator: And the last question is from the line of Chris Horvers with JPMorgan.
Christopher Horvers - JP Morgan Chase & Co: I was just curious, I wanted to follow up on the previous question on the U.S. big-box store base. It seems to me like as TVs mature, you’ll see some skew rationalization, mobile next accessory footprint is up dramatically in the past two years, and ultimately convergence knocks out some categories or the space needed in PC and GPS. I know you're investing in gaming, that seems also like an eventually declining category. So with 8% of your stores up for renewal each year, is there something else that's keeping you from closing stores in the U.S? Is it the age of the underperforming stores, maybe opening [indiscernible] (59:51) five, or do you expect innovation to ultimately be able to refill that space?
James Muehlbauer: This is Jim. As we mentioned earlier, I think it's the combination of things. There's nothing that's preventing us from doing things that we see in the model today that we should be taking actions on. So to Shari's point, as we see opportunities in the marketplace to improve the utilization of our square footage, we’re actually doing it. I think for the things that we see in the models specifically for next year around investing in gaming and things of that nature, we’re not talking about enormous investments in those spaces to improve the productivity of those stores. Similar to what we think we can experience in the appliance space, given a better value proposition and labor model around selling appliances like we're seeing in our early days of our Pac sales stores within Best Buy stores, demonstrates that we've got the right traffic in the store to convert customers if we have a better value prop and labor model. That's really where we saw the success in Best Buy Mobile, putting Best Buy Mobile in the store. Initially we didn't bring new customers into the store, we were leveraging the traffic that's there, and that space is way more productive than it was before. So we think we have opportunities to both to do that, but to also Shari's point, we also think we have opportunities as we see how these labor models evolve to meet customer needs. We think we can pull that off in smaller square footage. And as we get sharper on what that looks like and how customers respond to that in this environment, we'll be pulling those leverage to accommodate that as well.
Christopher Horvers - JP Morgan Chase & Co: So the message here is like you recognize that some of your stores are maybe too big and you're slowing down the growth, but where you're trying to figure out exactly what the right size of the store should be and that's the TBD that's basically holding that piece of the story?
Shari Ballard: This is Shari. We're actually making some moves now in existing stores and making them smaller. So that's not holding us back. As renewals come up, we can and are making some of the larger stores smaller. We think the biggest and best near-term opportunity is in what I said earlier. If you look at a store-by-store basis, the biggest near-term opportunity is in lowering the square footage of existing locations. That doesn't mean we won't do things on a location-by-location basis that are different than that, but the largest opportunity is in better returns in existing locations using smaller square footage.
Brian Dunn: I think there's a couple other quick points, this is Brian, that I think are important if you're considering this. One, the notion that, for our categories that we sell and represent better than anyone in the world that have to be experienced. Home Theater is one of those, and we don't see anything coming down the road that's going to change the very personal nature of people picking out the home theater componentry that makes the most sense for them. That's just sort of one example. And the second thing I'd ask everyone to consider, I think there's changes on the horizon potentially around taxation. And as those things play out, it's going to change the role of physical distribution and how multi-channel, the online works and coexists with the physical. So we are very, very carefully looking at our square footage, but we're also very clear that there are things we do better that need to be done physically, and we do it better than anyone in the world. We appreciate the question. Thank you very much.
Bill Seymour: Thank you, Alicia, and thanks to our audience for participating in our fourth quarter earnings conference call. As a reminder, a replay will be available in the U.S. by dialing (800) 406-7325 or (303) 590-3030 internationally. The personal ID number is 4424565. The replay will be available from 11:30 a.m. Central today through March 31. You can also hear the replay on our website under For our Investors. Thank you for your attention, and that concludes our call.
Operator: Ladies and gentlemen, this concludes the conference call. You may now disconnect, and thank you for your participation.